Operator: Thank you for standing by. My name is Damian, and I’ll be your conference operator today. At this time, I would like to welcome everyone to the Ameresco, Inc. Fourth Quarter and Full Year 2024 Earnings Conference Call. [Operator Instructions] I would now like to turn the conference over to Leila Dillon, Senior Vice President, Marketing and Communications. Please go ahead.
Leila Dillon: Thank you, Damian, and good afternoon, everyone. We appreciate you joining us for today’s call. Our speakers on the call today will be George Sakellaris, Ameresco’s Chairman and Chief Executive Officer; Mark Chiplock, Chief Financial Officer; and Nicole Bulgarino, President of Federal and Utility Infrastructure. In addition, Mike Bakas and Josh Baribeau will be available during Q&A to help answer questions. Before I turn the call over to George, I would like to make a brief statement regarding forward-looking remarks. Today’s earnings materials contain forward-looking statements, including statements regarding our expectations. All forward-looking statements are subject to risks and uncertainties. Please refer to today’s earnings materials, the safe harbor language on Slide 2 of our supplemental information and our SEC filings for a discussion of the major risk factors that could cause our actual results to differ from those in our forward-looking statements. In addition, we use several non-GAAP measures when presenting our financial results. We have included the reconciliations to these measures and additional information in our supplemental slides that were posted to our website. Please note that all comparisons that will be discussed today are on a year-over-year basis, unless otherwise noted. I will now turn the call over to George. George?
George Sakellaris: Thank you, Leila and good afternoon everyone. We ended 2024 on a strong note, which contributed to our annual revenue and adjusted EBITDA growth of 29% and 38%, respectively. We also delivered a record project backlog and placed a record level of energy assets into operation. Fourth quarter results were highlighted by 21% revenue and 59% adjusted EBITDA growth, with particular strength in our projects and energy asset businesses as well as the benefit from the successful sale of our non-core AEG business. Growth in our contracted backlog was a key highlight, increasing 92% year-over-year with a record of $1.1 billion in conversions during the fourth quarter. This resulted in total project backlog growth of 24% year-over-year to a record $4.8 billion. During the quarter, we also brought an additional 31 megawatts of energy assets into operation, bringing our annual additions to a record 241 megawatts. Our total operating energy assets now stand at 731 megawatts with another 637 megawatts in development. While I’m very proud of our team’s accomplishments, we did encounter challenges from two large legacy projects that significantly impacted our results during the fourth quarter and the full year. While we do our best to anticipate and mitigate these impacts, there are times when we experience schedule delays and significant inflation, which result in unrecoverable cost overruns. Over time, we have tightened our project review process and applied what we have learned to better mitigate this risk. We believe that the financial impact of those two projects is largely behind us. Importantly, our team’s strength lies in our ability to successfully execute and deliver on hundreds of projects in a dynamically changing industry. Now I would like to have Nicole comment on the impact of the new administration in Washington. Nicole?
Nicole Bulgarino: Thank you, George, and good afternoon, everyone. We are working diligently to stay on top of all the information and changes coming out of D.C. that might impact the industry. As many of you are aware, federal policies play an important role in our business. The federal government is a significant customer, representing approximately 20% of our 2024 revenue. This work includes a wide variety of federal entities, both civilian and military. While to date, the direct impact to Ameresco has been minimal, we have encountered one cancellation on a project contracted earlier in January and a pause on two other contracts. And given the recent changes in the federal workforce, we are anticipating the potential for additional delays. That said, the majority of our federal projects are continuing in their normal cadence and on schedule. I believe that our federal work, especially through the well-established energy savings performance contract mechanism is well aligned with the approach and goals of the current administration. ESPCs allow federal agencies to procure energy savings and facility improvements with no upfront capital cost or special appropriations from Congress. Federal agencies have been using the ESPC contract vehicle for over 25 years to significantly reduce energy and operating costs in a budget-neutral manner. As a reminder, the majority of our federal projects are focused on cost savings, resiliency and upgrading critical infrastructure, which we believe will continue to be in great demand and is in line with the current administration’s priorities, as shown through the large multimillion dollar military housing contract we announced just last week. In addition, these ESPC projects are often signed with long O&M contracts as proven by our current contracted O&M backlog that stands at over $1 billion. In closing, we will continue to closely monitor the impacts of the changes in D.C. However, we feel strongly that the fundamental drivers and benefits of our federal projects remain. I will now turn the call back over to George. George?
George Sakellaris: Thank you, Nicole. As we have mentioned in the past, we expect to continue to see long-term demand from our federal agency customers given the need for secure, resilient and reliable power, but as always, we remain focused on policy changes that might impact our business and have incorporated the potential for delays and disruptions into our 2025 guidance, which Mark will discuss in his comments. And while we work through short-term challenges, we have built a diversified and resilient business model that we believe can manage through difficult environments. Beyond the multiyear visibility of our strong and growing project backlog, we have also purposely grown our recurring energy asset and O&M businesses, which now account for the majority of our annual adjusted EBITDA. These business lines generally have long-term contracts, providing annuity-like revenue visibility, helping us to mitigate short-term volatility in the project business. We also have deliberately expanded geographically. Ameresco now has operations in every state, Canada, the U.K. and growing footprint in Continental Europe. 2024 marked a significant milestone for this region with over $250 million of revenue generated from our expanding European business. I will now turn the call over to Mark to comment on our financial performance and 2025 outlook. Mark?
Mark Chiplock: Thank you, George and good afternoon everyone. Strong execution across our business led to a record revenue finish to the year with total revenues in the quarter growing over 20% to $533 million and each of our four business lines experiencing solid growth. Our projects business revenue grew 21%, reflecting our consistent focus on execution and conversion of our backlog. Energy asset revenue grew 31%, driven largely by the greater number of operating assets compared to last year. We added another 31 megawatts of assets into operations this quarter, bringing our full year adds to a record 240 megawatts. Our base of operating assets now stands at 731 megawatts. O&M revenue grew 9% as we continued to win more long-term O&M business, while revenue from our other line of business grew 14% with strong performances from our off-grid PV and consulting businesses. Gross margin of 12.5% for the quarter was significantly lower than expected. As George mentioned, unanticipated cost overruns on two projects negatively impacted gross profit by approximately $20 million or 400 basis points. For the full year, the impact to gross profit from these 2 projects was approximately $38 million or 260 basis points. We believe that the financial impact of these two projects is largely behind us. Operating income of $44.7 million, an increase of 31%, was bolstered by our revenue growth and the completed sale of our AEG business unit, which resulted in a gain recognized in the quarter of approximately $38 million. This increase was partially offset by non-cash asset impairment charges of $12 million related primarily to the announced closing of one of our landfill gas sites by the county. We also saw higher depreciation expenses of $8 million directly related to the growth of our operating asset portfolio. Net income attributable to common shareholders was $37.1 million, increasing by 15%. We continue to take advantage of clean energy tax incentives, which resulted in an effective tax rate benefit for 2024 of 59% compared to a benefit of 67% in 2023. Fourth quarter adjusted EBITDA of $87.2 million increased 59%. The growth of our project backlog continued to be outstanding, fueled by our business development activity, which remains very healthy with over $700 million of new project awards in the quarter. Importantly, we added new awards at 2x our 2024 project revenue. Total project backlog increased 24% to $4.8 billion. These metrics demonstrate our continued focus on execution and the strong demand for our projects. Turning to our balance sheet and cash flows. We ended the quarter in a solid cash position with approximately $109 million in cash. Our total corporate debt declined to $243 million from $273 million as the cash proceeds from our sale of AEG were used to pay down a large portion of our outstanding term loan. During the fourth quarter, we successfully executed approximately $237 million in project financing commitments to help fund our asset business. Our adjusted cash from operations during the quarter was $54 million, bringing our full year total to $282 million. Our 8-quarter rolling average adjusted cash from operations was $46 million. Before turning to our 2025 guidance, I wanted to touch on some of the recent events impacting our RNG business. First, in December, Treasury finalized new rules governing the Section 48 investment tax credit. These rules clarified that the ITC would apply to our RNG projects that began construction before the end of 2024 and were placed in service in 2023 or later. Importantly, we can choose to either use the tax credits internally or sell the credits to third-party investors under the transferability rules. Our RNG assets placed in service between 2023 and 2024 generated ITCs of approximately $100 million, part of which we recognized as a tax benefit in 2024, with the remainder expected to be sold for cash in 2025. In addition, we have safe harbored RNG projects expected to go COD between 2025 and 2027 with an estimated $200 million of additional potential credits. Second, in January, the Treasury released its initial guidance on the Section 45Z Clean Fuels production tax credit. 45Z, which takes effect this year, provides a tax credit for the production of transportation fuels sold from 2025 through 2027. All of our landfill RNG plants qualify for this credit. And like the ITC, we have the option to either use the credit ourselves or to lower our tax rate or to sell them to third parties for cash. Once the guidance is finalized, we believe our total annual benefit from 45Z could be approximately $8 million to $10. Finally, D3 RIN prices weakened at the end of last year, fueled by the EPA’s proposed rule to partially waive the 2024 cellulosic biofuel volume requirement due to a forecasted shortfall in production. While the waiver has not yet been finalized, our guidance reflects the current market for RINs. We continue to deploy our dynamic hedging strategy to manage the risks associated with RIN price volatility and its impact on our earnings. As of today, less than 30% of our overall expected 2025 RIN generation is merchant. Now turning to 2025 guidance. We believe our guidance reflects the current unpredictable political and regulatory environment. We are guiding revenue of $1.9 billion and adjusted EBITDA of $235 million at the midpoint of our ranges. Included in our EPS guidance is the anticipation of an estimated net tax benefit, but the benefit will likely be lower than last year as we optimize the mix of credits that we keep versus credits that we sell for cash. We anticipate placing approximately 100 to 120 megawatts of energy assets in service, including 1 to 2 RNG plants. Our expected CapEx is $350 million to $400 million, the majority of which we expect to fund with additional energy asset debt, tax equity or tax credit sales. For additional clarity on our EPS guidance, I thought it would be helpful to provide more color on certain factors that have an impact on EPS, depreciation, interest expenses and non-controlling interest. As our energy asset portfolio grows, we anticipate a corresponding increase in our depreciation expenses. Additionally, our strategic use of non-recourse debt to finance this growth will lead to higher interest expenses and as we expand our global footprint, we will continue to use strategic joint venture arrangements, which allow us to leverage our partners’ local expertise and resources. Our Ameresco Sunel Energy JV in Europe is an example of such a partnership. When we have a majority stake and have control under these arrangements, we report 100% of the joint venture’s revenue and expenses. However, our adjusted EBITDA and net income are reduced by the non-controlling interest of our JV partner, reflecting their ownership stake in the joint venture. Given these factors have a significant impact on our EPS results, we’ve provided estimated ranges for them in our 2025 guidance as detailed in our press release. Also, I want to call out that our 2025 guidance does not include the potential impact of a change in accounting principle related to sale-leaseback arrangements that is currently being assessed. If implemented, this change could result in lower annual interest and other expenses with an estimated impact of $20 million in 2025. Finally, I will provide some shaping on 2025. We anticipate that first quarter revenue and adjusted EBITDA will be similar to Q1 last year and because the first quarter is our seasonally lowest revenue quarter and due to the linear nature of depreciation and interest expenses, we expect to have negative EPS. With respect to the cadence of revenue, we expect revenues in the second half of the year to represent approximately 60% of our total revenue for 2025. This is consistent with our performance from the past couple of years. Now I’d like to turn the call back over to George for closing comments.
George Sakellaris: Thank you, Mark. As you have heard, we ended the year on a very solid footing with record project backlog and O&M backlog and a record number of energy assets in operation. As we look to 2025, we are cautiously navigating the transition of the federal government. However, I am confident in our ability to execute in this dynamic environment. There is a strong demand for our budget-neutral solutions that provide customers with significant cost savings, resiliency and much needed infrastructure improvements. We remain focused on the profitable execution of our tremendous project backlog and assets in development and the generation of cash flow. In closing, I would like to once again thank our employees, customers and stockholders for their continued support. Operator, we would like to open the call to questions now.
Operator: [Operator Instructions] And your first question comes from the line of Stephen Gengaro with Stifel. Your line is open.
Stephen Gengaro: Thanks. Good afternoon everybody.
George Sakellaris: Hi Stephen.
Nicole Bulgarino: Hi Stephen.
Stephen Gengaro: Hi. Can you talk a little bit about – you obviously talked about kind of where the backlog is, etcetera. But can you talk a little bit about what you are seeing in your conversations with customers over – basically since January as opposed to the back half of ‘24 and whether they are at all sort of paralyzed by the uncertainty around the administration or sort of how those conversations are going and how you think customers are kind of reacting to that?
George Sakellaris: I think the – especially the last six months, and Nicole can add a little bit color to it or even the last 1.5 months or so, especially on the Federal sector, the activity is still very good. Actually, there are just a couple of RFPs out today.
Nicole Bulgarino: Yes. I think it’s – and certainly on our Department of Defense side, there has been still an active RFPs, as George stated, coming out when you are looking at microgrids and that type of work. I mean there has been certainly some slowness with in surety of the – like on the civilian side, like TSA as example. At this point, I think and even in our utility business, I mean we are seeing several active RFPs because they are related for the need of energy.
Stephen Gengaro: Okay. Thanks. And the other question I wanted to ask quickly is when you think about the deployment of – in the energy assets business this year. And I appreciate you gave kind of some revenue guidance on sort of the quarterly cadence for ‘25. But is there any lumpiness or anything we should be aware of on sort of the deployment of energy assets throughout ‘25?
George Sakellaris: No. The only thing that I would say on the energy assets is the supply of equipment, like transformers, especially the larger size of transformers of the interconnection, utility interconnection and then the renewable natural gas, sometimes the pipelines getting the right ways and interconnections. But generally, as you can see, our development backlog of the assets is very, very, very good. And the financial markets, they are still very good as we demonstrated for what we were able to do in the last quarter. So – but because of the new administration hiccups here and there, I think you will find them even on the projects as well as some of the assets. But the overall market environment is still very good.
Stephen Gengaro: Okay. Great. Thank you for the details.
Operator: Next question comes from the line of Noah Kaye with Oppenheimer. Your line is open.
Noah Kaye: Thanks. The first one might be a Nicole question as well. No surprise. I guess given that ESPCs are a decades-long time-tested way to save the government money upfront and have always been kind of bipartisan. What should we make of the pause that you are seeing now around? I mean I guess the better question is what conversations with relevant counterparts is the company having on what’s driving some of these decisions? And how quickly might we see kind of a reversion to, let’s call it, business as usual?
Nicole Bulgarino: So, the pause that we mentioned just a few minutes ago is related to specifically GSA. And if you – I mean everyone has seen the headlines and they are looking at selling a lot of their assets. And so those projects, in particular, are paused as they are evaluating which buildings they may sell. So, we don’t – we kind of expect that to be the – this is a specific case to GSA and still expect same value to be appreciated by this administration on the STCs.
Noah Kaye: Very helpful. Thank you. Go ahead, George. No, please. I appreciate your thoughts.
George Sakellaris: Yes. What might happen with some of this GSA projects, let’s say, might have a project they hit 5, 6 or 10 buildings. They might want to decide to sell two or three or four of that. So, we have to re-scope the projects and go ahead with the rest of the buildings. So, most likely, that’s what you will see happening.
Noah Kaye: But because you have an IDIQ that covers extensibly the scope of whatever buildings are remaining, there are still lots of opportunities to mine in terms of deep energy retrofit.
Nicole Bulgarino: That is correct.
George Sakellaris: That is correct. And this administration likes this kind of projects.
Noah Kaye: Good. A question on the guide, and Mark, thank you for providing some guideposts around seasonality of revenues in 1Q. I guess when we think about at least the relative contribution from the different parts of the business, you put in a really good amount, as you said, a record amount of energy assets. You have got your RIN exposure pretty well handled, as you mentioned. So, is there a way to think about sort of the EBITDA growth at least from certain projects and the O&M and then kind of thinking about the project business being more of the swing variable, maybe you could just give us a little bit of color on how to bridge.
Mark Chiplock: Yes. I mean I think that we are coming into the year, and we talked a lot about the backlog, right. So, we have a lot of our project backlog coming – our project revenue coming from contracted revenue. So, we will expect to see a decent amount of contribution there. And then obviously, last year, with all of the megawatts of new assets that we placed in operations, of course, that’s not going to be completely incremental to 2025, just given that a lot of that came on board throughout 2024. But we will see some additional contribution there. Just remember that when we put some of these assets online, they do still take some time to ramp up. We expect some amount of incremental contribution there. And then O&M, that always remains pretty linear. We would expect a little bit of growth there. So – but again, we have got some steady contribution from those recurring streams. So, I mean I guess that’s about the best color I can give you in terms of how those – how those three lines of business will contribute to the EBITDA growth.
Noah Kaye: Appreciate it. Thank you. I will turn it over.
Mark Chiplock: Thanks Noah.
Operator: Next question comes from the line of Craig Irwin with ROTH Capital. Your line is open.
Craig Irwin: Good evening and thank you for taking my questions. So, George, I was hoping maybe you could give us a little bit more color on the sort of shift in the way you put your guidance together. So, I appreciate the conservatism around anticipating a change in the Federal building footprint, right? Nobody knows these buildings better than you guys do, except for maybe the owners, but you are doing some very important work as far as managing the profile, the financials of these buildings. Can you maybe scope out for us what the delta would have been or what the contribution could have been that if you would have taken a straight line with what’s in backlog today, what looks like it’s ready to be executed that would have been – that you would expect if nothing changes in DC so that we can kind of estimate the adjustment down for your conservatism around changes that are going to happen over the next couple of years?
George Sakellaris: Well, I think the most important – the impact that we will get is probably during the next six months until everything stabilizes and the new people in the Federal government get their positions. And the bottleneck is not – because the backlog is excellent right now. I mean and if nothing had happened, I don’t want to give a number out, but it could be a considerably better performance for this year than we have right now. So – and that’s where we try to push out some projects, at least about six months, I would say, a rough estimate that we have pushed out those particular projects and a couple of other ones that were in the execution stage. But if you have new people, it takes a little bit more time. And then if you have to re-scope these particular projects, now you have to do the financing all over again and so on. And I know in one particular project that was canceled, actually, we are – they are going to do the project, but we are negotiating the scope for the remaining buildings, and it’s going to take a few months to do it. So – but you are right that this administration of this energy savings performance contracts because they are budget neutral, they love them in a year to 2 years from now, I guarantee you that the Federal government will be picking up more business. And the other thing I want to point out that we have haircut a little bit the other parts of the business because some of the money, even though, let’s say, a school system or a college or hospitals, they do get some money from the IRA program. So, they buy down the energy savings performance contracts. So, we have seen a little bit of slowdown on that particular project, but we haven’t lost any project either. But the timing has been shifted a little bit.
Craig Irwin: Excellent. So, then I guess I will ask the second question, something I called you on privately this past quarter. So, we have been hearing that because of the success in the ESPC program over the last many, many years and the outperformance of the portfolio of projects that’s been done versus typical Federal construction that the administration is actually looking at moving most Federal contracting from roads to libraries to – you name it, into a very similar ESPC-like vehicle. Obviously, it would not be an $80 billion IDIQ. It would be in the hundreds of billions. Given your leadership in developing the performance contracting industry and sort of helping set up the entire structure that’s allowed this budget-neutral investment to be such an important contribution to the building stock, have you been involved in those conversations at all? Does it make sense for you for non-energy related projects to maybe have a similar contracting structure? And would this be a growth opportunity if we saw some similar type of contracting mechanism brought to a much wider scope of projects across the country?
George Sakellaris: Yes. I would love to do some of their ships, some of the Air Force bombers and so on. I think there is tremendous potential that you apply this concept to many other areas. One of the areas that we are not – we could be talking about it down the road is the data centers. And that’s – we haven’t talked about it yet, but because we wanted to have something concrete and then we will start talking about it. And I think down the road, we will probably hear something about that.
Craig Irwin: Excellent. Well, stay tuned. Thanks for taking my questions.
George Sakellaris: Yes.
Operator: [Operator Instructions] Next question comes from the line of Eric Stine with Craig-Hallum. Your line is open.
Eric Stine: Hi everyone. Thanks for taking the questions. So, just sticking with the Federal business, obviously the big focus today, just curious, I mean other than the GSA business, which you touched on and think that, that may change in scope, is it fair to say that what you are doing here is, by and large, it is simply saying you think there is a pause. Just curious, is that the way we should think about it? And then also, you mentioned the one cancellation. Is that something you are factoring in for 2025 that, that becomes more widespread, or do you think that that cancellation is kind of a one-off?
Nicole Bulgarino: The cancellation was a one-off, and we have already accounted for it in the numbers. And the other two are pauses, and we have accounted for that in our guidance, the delay in those as well. And it is related to GSA.
Mark Chiplock: Yes. I think more broadly, Eric, right, to be clear, we gave a lot of consideration to anything that could be exposed, right, by policy changes, other project pauses, potential cancellations, maybe tariff policies, Federal funding cutbacks. We gave consideration to all of it and try to smartly build that into our guidance ranges. So, we definitely took that approach.
Eric Stine: Okay. And so there is the possibility, not sitting here early in the year, but it sounds like you have attempted to be very conservative and maybe that’s the best approach given where we are at right now. But I mean this is something that, that could change as the year progresses depending on how things play out.
Mark Chiplock: Certainly. Yes.
Eric Stine: Okay. Alright. Thank you.
Operator: Next question comes from the line of William Grippin with UBS. Your line is open.
William Grippin: Great. Hey. Thanks for the time and good evening. Just my first one, I wanted to come back to the guidance here, maybe to put a finer point on it. If I look back over the last 4 years at your contracted projects backlog as of the end of the year, that’s perfectly correlated to your reported project segment revenue in the following year, right, 1:1 basis consistently for the last 4 years. So, I would take your $2.5 billion contracted projects backlog. If I look at that relative to the $1.9 billion revenue guidance, the midpoint, that seems to imply to me that you are actually not assuming any Federal revenue in the 2025 guide. But just based on the conversation here on the call here, I feel like I am probably missing something. So, maybe could you elaborate a little bit more on what you are actually assuming is in versus out? And what explains that pretty substantial gap between your contracted backlog there and then the actual overall revenue guide that you have given?
Mark Chiplock: Yes. No, yes, we are certainly assuming some Federal revenue in the 2025 guide. I think what you probably have to look at is we have around $1.1 billion of 12-month contracted that gives us very good line of sight into 2025 out of the contracted backlog. Remember, the implementation period of this contracted can be over 12 months to 36 months. So, again in our guide, we are basing it off of our – the best information and what we see is our 12-month contracted and that will – that should assuming we execute directly – directly run into the revenue line. So, yes, we wouldn’t expect to execute on 100% of the contracted in the very next year because that implementation period as these projects get larger, could be over 2 years, 3 years.
Nicole Bulgarino: Yes, especially in the Federal end.
Mark Chiplock: Especially in the Federal.
William Grippin: Right. Okay. And then just on the RNG side here, the last couple of days, there have been some reports in the media about the EPA proposing potentially cutting up to 65% of staff. It was also reported maybe that was just referring to a budget cut. But as I understand it, the EPA has to approve your ability to generate RINs at an RNG facility before you can actually start recognizing those. So, are you – I guess what are you assuming in the guide for contribution from the two RNG plants this year in terms of timing? And does it contemplate any potential delays in sort of the necessary regulatory approvals?
Mike Bakas: Yes. This is Mike Bakas. What I would say is just keep something in mind, and we went through this year because you are probably familiar with the EPA change its, the rules on certification. And we could no longer store the gas and how to sell to the voluntary market. We – before our plants, like, for example, our Keller plant and our Roxana plant, two large facilities, I think about 26 megawatt, 27 megawatt equivalent. Before it got certified, we were actually selling the environmental attributes at a pretty healthy rate while we are waiting for certification. And considering it was first off the gate, we were able to get certification, I think within like a month or two months for those facilities. So, I think we are still pretty comfortable that certification will move along at a fairly good clip. We haven’t seen any hiccups yet so far at the EPA. And if you look at some of the things that have been coming out from the administration, it seems to be very pro biofuels.
William Grippin: Got it. Appreciate the color.
Mike Bakas: Thanks William.
Operator: [Operator Instructions] There are no further questions at this time. Ladies and gentlemen, this concludes today’s conference call. Thank you all for joining. You may now disconnect.